Mark Allan: Ladies and gentlemen, good morning. Welcome to the presentation of Landsec's Annual Results for the Year to March 2022. In terms of agenda, I will start with a brief overview of where we are as a business, the key highlights from the year, before taking you through each of the three pillars of our strategy in more detail in the operation overview. Vanessa will then take you through the financial review and what delivering our strategy is expected to do in terms of returns. And after a quick summary and outlook, we will then open the floor for questions. You will recall in October 2020, we launched our updated strategy that was before vaccines and when we were still very much in the midst of the pandemic. Despite the current economic uncertainties, I am pleased to say the momentum in each of our key markets has recovered considerably since then and we have made significant progress on our strategy over the past 12 months. London remains a world class city that will continue to attract large numbers of visitor’s, new businesses and international talent. And life has bounced back with streets, bars and restaurants on many days as full as they were pre-pandemic. In retail, the pandemic significantly accelerated the shift from physical to online sales and the repricing of rent and capital values associated with that. But there are increasing signs that this in some cases may have gone too far and that the future of truly prime retail destinations is positive. And in mixed-use, the structural need for more sustainable neighborhoods that cater for communities changing demands on how we live, work and spend our leisure time remains high. Against that backdrop Landsec is well-positioned for growth. Our high quality portfolio means we are well-placed to meet the growing demands from customers on sustainability, quality and amenities on offer. Our successful capital recycling allows us to rotate capital into opportunities, which have higher returns whilst making sure our balance sheet remains strong. And we have now assembled a Central London and mixed-use pipeline where we believe we can invest around £3 billion of CapEx over the next five years with a target profit on total costs of around 20%. As a result, we have the clear opportunity to grow our returns materially with around £120 million of upside in income from recycling capital into our pipeline and a target to deliver on average a mid-to-high single digit annual return on equity over time. For this year, making some allowance for our planned ongoing capital recycling, we expect EPRA EPs to grow by a low-to-mid single digit percentage supporting further growth in dividend from here. So as a result, we are in great shape and look forward to the future with confidence. Turning to our performance over the year. This slide really sums up the positive momentum that we have built across the business. We have had a record year of leasing in London, which demonstrates the strong interest in our high-quality assets. Our committed pipeline is 56% let with good interest in the remaining space at rental levels ahead of ERV. And we've continued to recycle capital out of mature assets, the prices well-ahead of book value. In retail, we have seen a strong recovery in demand for our prime centers with £29 million of lettings signed or in solicitors' hands on average 2% above ERV. Following five years of declines our shopping center valuations turned the corner in the second half and we acquired a further stake in one of the UK's very best retail destinations, Bluewater at an attractive 8% plus yield. And finally in mixed-use, the acquisitions of U+I and MediaCity not only doubled the size of our pipeline and brought in complementary skills, but they also brought forward the potential delivery timeline as both could start on site in the next 12 months. As a result, we now have clear visibility on the potential to grow mixed-use to between 20% to 25% of our portfolio in the coming years. Turning briefly to our financial results. Our strong operational performance and our strategic decisions are clearly driving returns. Our total accounting return increased to 10.5%. EPRA NTA per share increased 7.9% with an acceleration to 5% growth in the second half. Earnings per share increased by 42% as trading conditions normalized and like-for-like income growth was positive across each segment. Also our dividend is up 37% and comfortably covered 1.3 times by earnings. And our balance sheet remains strong with LTV remaining below the mid 30% even after our investment in future growth opportunities during the year. Now whilst all of this is of course positive in order to be really successful in the long-term, we know that it's vital not just to focus on financial returns but to make sure we deliver those returns in a sustainable way. And this has long been a focus for Landsec as we were for example the first commercial real estate business in the world to set a science based carbon reduction target back in 2016. Last November we were the first UK REIT to set out a fully costed net-zero transition investment plan. Now taking this to the next level, we recently launched our new Build Well, Live Well, Act Well framework, which will guide all our individual sustainability initiatives and creates a clear link with our purpose. As part of this, we have now set a target to reduce embodied carbon in development by 50% by 2030 to less than 500 kilograms per square meter to invest £20 million into our Realising Potential Fund in order to enhance social, mobility in our industry and in the places where we invest to empower 30,000 people towards the world of work by 2030 and to make sure all of our colleagues have individual objectives, linked to remuneration related to the delivery of these sustainability ambitions. And these are our ambitious targets, which we can't deliver in isolation. So we will continue to work with our stakeholders and our supply chain to make sure we achieve them and to make sure that Landsec stays at the forefront of driving change in our industry. So with that, I will now talk you through each of our three business units in a little more detail, covering for each, the market, our operational results and what to expect from us next. Starting with Central London. We've seen a marked recovery in demand, while space under offer remains ahead of the 10-year average and that's an important lead indicator of course of take-up from here. There remains a lot of debate about the future of the office. But while some occupiers may downsize their space to adjust to different ways of working, several others are taking more space as their businesses grow. And a number of major employers currently based outside of London, are now actively looking for space within the capital. As it's clear that in today's world, the office needs to offer a lot more than banks of desks to attract key talent. So whilst there is no uniform trend in terms of the amount of space companies want, what is increasingly clear is the type of space people want. Aside from the vibrant amenities that create the places to attract people, virtually all occupiers, now focus on sustainability, with some also looking for more flexibility. Whilst overall market vacancy remains high, the amount of green modern space that meets these criteria is relatively low. And that's especially true of the West End where over 60% of our completed office portfolio is located. And about 80% of vacant space across the market is second hand. As a result, we expect prime office ERV growth in the year ahead to be somewhere in the low to mid-single digits. And as investment demand remains high, we expect yields to be broadly stable, absent any major further increase in real interest rates from here. And given the growing customer focus on quality and sustainability, Landsec is in a very strong position. Nearly half of our portfolio was either built or substantially redeveloped within the past 10 years. 44% is already rated EPC A or B and that's roughly three times the market average. The impact of this is shown in our results as we've had a record year in terms of leasing with £63 million of rents signed on average 4% ahead of valuers' assumptions and a further £6 million in solicitor's hands and that's 13% above valuers' assumptions. We agreed a number of major lease regears during the year, for example with Deloitte in New Street Square and with several occupiers across our Victoria Estate, which highlights our strong customer relationships and the attractiveness of our assets. As a result, despite a small increase in the year, partly due to the completed refurbishment of Dashwood House in the city which is now in lease-up, vacancy in our office portfolio is half that of the overall London market. Our London retail leisure and F&B assets which create the vibrancy for many of the offices above were hit hard during lockdown, but demand has recovered with workers and tourism returning to the city, so leasing activity has started to pick up as well. Looking ahead, we have created significant optionality within our pipeline. Competition for sites remains high. So we're pleased to have secured two new opportunities by innovative off-market type deals. Firstly, the acquisition of U+I provided a consented 200,000 square foot scheme Liberty of Southwark at two minutes walk from London Bridge Station in Southwark. And secondly, the least gear -- lease regear with Deloitte I mentioned earlier, but only drove a significant value uplift across our New Street Square estate, but it also unlocked a roughly 300,000 square foot longer-term redevelopment opportunity at Hillhouse. All in all, our overall potential pipeline now stands at 2.8 million square feet, which equates to around 50% of our current portfolio. Of the 1.1 million square feet which is on site and expected to complete in the next 13 months, 56% of ERV is let, with good interest in the remaining space. And we've been able to reduce the embodied carbon on these projects by over 20% through design innovation and through working closely with our supply chain. We have seen a 3% increase in estimated final cost and a few months of delays on our committed pipeline during the year. But 97% of costs are now fixed. And based on current leasing negotiations, we expect higher ERVs to more than compensate. We retain flexibility on our future pipeline. But subject to continued demand, we expect to start up to three new schemes over the coming year at an attractive average 6.4% yield on cost. Turning now to the growing demand for flexibility and partly or fully serviced offerings. We are continuing to evolve our three office products: Blank Canvas, which is our headquarters type or CAT A space; Customized which is our fitted out and connected offer; and Myo which is our flexible fully serviced product offer. Our first Myo location is 98% let. And the second one we opened during the year is already 64% let and occupancy is rising. We plan to open Myo in a further four locations, totaling around 170,000 square feet over the next 24 months with further opportunities identified beyond that. And based on an assumed average 85% occupancy, we target net income for Myo after costs, after depreciation to be around 20% above the equivalent Blank Canvas rents, a meaningful premium. We also expect to further grow our Customized space, which caters for the growing demand for fully furnished solutions. So with the various products we offer, our high-quality existing assets and our substantial pipeline, we are well placed to benefit from the strong demand for flexible, sustainable, modern space in vibrant locations. Moving on now to retail, where we've seen a significant recovery in occupier demand over the past 12 months. For many leading brands it is now clear that online and physical sales channels are fully interconnected. And especially over the last few months with all COVID restrictions lifted, the gap between online and in-the-store sales has narrowed materially, as online sales slowed and in-store sales continued and continue to recover. Customer acquisition costs or CAC for direct-to-consumer brands are up 60% over the past five years. And according to Shopify, a business that has grown rapidly by providing its customers the infrastructure they need to trade online, omnichannel will be a prerequisite for future growth for any direct-to-consumer business. They say faced with the reality that they can't rely on paid social media ads to grow forever, digitally native brands have started expanded into physical retail as a way to lower their customer acquisition cost. The old axiom CAC is the new rent has now switched to rent is the new CAC. Now that doesn't mean that the rationalization of store portfolios over as there remains significant excess retail space and the current inflationary pressures on retailer margins could even accelerate the rationalization of the marginal tail end of brands portfolios. And this means there is an increasing focus on fewer, bigger and better stores in the locations which attract the highest footfall, which is where we are now seeing that rents have stabilized and occupancy is growing. And this growing confidence in income has started to drive a recovery in investment demand with retail investment volumes in 2021 at their highest level since 2017. And much of this of course was driven by retail parks, which saw yields compressed to around 200 basis points in just over a year. So prime shopping center yields in our view now offer a very attractive risk premium and we expect for the best assets they might well start to come in over the course of the next year. During the year, we restructured and strengthened our retail team to focus more on growing our brand relationships and guest experience and less on traditional asset management. We've also rationalized our retail leasing agency roster from 31 to 5, all of which makes it easier for brands to do business with us. Our new approach has already started to drive results, as over the year we have seen demand improving from a wide range of customers. We have grown relationships with existing customers, opening stores in new locations such as Zara in Cardiff, Mango in Bluewater. We've worked with our brands to upsize existing stores, such as H&M at Leeds, Nike at Gunwharf Quays. We've also established new relationships with digital native brands and have seen brands relocating to our assets from weaker locations nearby in a flight to prime such as Nespresso, SpaceNK in Leeds. We've expanded our food and leisure offer such as with either Asia in Cardiff, the Big Easy in Bluewater and the world's first official Formula one competitive socializing concept signed the One New Change. As a result, occupancy increased 170 basis points to 93.2% and we expect this to grow further this year. As you might recall, a year ago, we said we thought prime rents were approaching sustainable levels, which our results have confirmed. We signed £20 million of lettings on average 2% ahead of ERV and we have a further £9 million of rent in solicitors' hands on average 3% above ERV. Whilst footfall was 19.6% lower than it was pre-COVID, like-for-like retail sales were 1% ahead for the year and this trend in sales has been sustained over the past month. So despite the near-term economic challenges this strong operational performance further adds to our confidence in the sustainability of income and our view that prime retail destinations can return to growth. And this is not based simply on a view that all retail is oversold and will eventually correct, but on the investments that we've made in our team over the year that they now give us a true competitive advantage. And we will also continue to invest in evolving our offer with non-retail use such as office, F&B or leisure expected to grow from around 18% currently to around 25% in a few years time. Still the difference between total sales in our shopping centers, which are down around 10% over the last five years compared to rents, which are down around 35% and values, which are down around 65% is stark. And in our view provides an attractive opportunity, which is what we capitalized on with the acquisition of a further stake in Bluewater this year at an attractive 8.25% equivalent yield. So we are selectively exploring further opportunities in line with our view that major retail destinations could grow to between 20% to 25% of our portfolio from 16% currently. Now on to the third pillar of our strategy; mixed-use urban neighborhoods. This is an area that was relatively new for Landsec when we launched our strategy in late 2020, but we've made considerable progress during the course of the year. The market continues to be supported by long-term growth trends be it through demographic growth driving demand for residential, urbanization or in the way cities are changing with the lines between places to live work and play increasingly blurred, and a growing focus on sustainable place -- space that really delivers for its local communities. Beyond London, the government's leveling up agenda clearly adds further support. But even without that the chart on the right shows the economic growth in Manchester where we invested in two major projects during the course of the year has been on par with London over the past decade -- I should say the decade pre-pandemic. And indeed it was significantly ahead in the five years immediately pre-pandemic. And moreover mixed-use urban projects offer an attractive mix of income returns, development upside and medium-term growth, especially, in residential with a fairly balanced risk profile given the ability to phase CapEx commitments the diversity of uses and the variety of locations. As I mentioned, we made important progress during the year as the acquisitions of U+I and of MediaCity meant we not only doubled our potential pipeline, but also accelerated the delivery of this pipeline as both projects came with existing planning consents relative to our existing urban opportunities where we made good progress during the year but which remains slightly further behind in the planning process. The acquisition of U+I provided us with five key projects in London, Manchester and Cambridge of which two are near-term and with the potential to invest around £400 million to £600 million over the next five years to six years. We're making great progress with monetizing the roughly £200 million of non-core assets of the business with £61 million already sold or exchanged on average 10% ahead of book value and a further £26 million of disposals now under offer. The U+I acquisition also provided us with important skills and experience and we are now working on integrating our own schemes and people with U+Is to form one new mixed-use regeneration business. Our second key acquisition was a 75% stake in MediaCity, Salford Greater Manchester Europe's largest purpose-built creative tech and media hub offering an attractive income return on the first phase which is completed and the potential to invest over £400 million in new residential, office and retail space across the second phase of this very successful project. The chart on the right shows how combined with our existing projects this could see mixed-use grow to between 20% to 25% of our portfolio in the coming years. In total our mixed-use pipeline now covers some 7,000 homes and around three million square feet of commercial space with the potential to invest around £1.5 billion in CapEx over the next five years. We target IRRs of between 10% and 14% with our London schemes towards the lower end of this range, regional schemes towards the upper and a target profit on total development cost of around 20%. We aim to start on site with the first phase of Mayfield later this year and MediaCity early next year and subject to planning with the first phase of O2 Finchley Road later in 2023. As you can see bottom right, our overall pipeline now presents a significant long-term growth opportunity. And our ability to face investments across various projects means we can create a relatively repetitive stream of development returns over the coming years, whilst we retain flexibility to adapt to changes in demand. And now I'll hand you over to Vanessa who is going to talk you through our financial results. 
Vanessa Simms: Thank you, Mark and good morning, everyone. I'm pleased to present my first set of full year results of our business, which reflect the momentum in executing our strategy and the positive operational performance. So let me start with the headlines. Our financial results for the year have been strong, and we have delivered a material increase in EPRA earnings, which were up 41% driven by the positive leasing results, and a normalization of the trading conditions post the pandemic. Reflecting the growth in earnings, our dividend for the year is up 37% to £0.37, and we expect further growth in earnings and dividend over the next 12 months. We delivered a strong total accounting return of 10.5%. EPRA net tangible asset value per share is up 7.9% for the year, and that's following a 5% increase in the second half. This reflects the growing momentum across each part of our business, and our actions to drive value. In the half year, I shared our plan to reduce carbon emissions, and I'm pleased to say that, we remain on track to meet our long-term targets. However, the year-on-year changes in carbon emissions and energy intensity are distorted by COVID. As during the prior year lockdowns much of our portfolio was either closed or hardly utilized. So compared to the year ending March 2020, carbon emissions reduced by 10 percentage points and energy intensity also reduced by 15 percentage points. Turning to EPRA earnings. These are up £104 million to £355 million driven by a £105 million increase in net rental income. I'll explain the movements in gross rental income shortly, but the key movements in net rental income is, of course, a reduction in bad debt as trading conditions have normalized after the lockdowns in the previous year. Rent collections are now back at pre-COVID levels with 96% of the March quarter rent received. And this also reflects a more proactive customer-focused approach to rent collection in the recent months. And we've seen less than £1 million of rent, impacted by insolvencies or CDAs during the year. That said, the effects of the pandemic still had a material impact on costs. Higher void costs, due to the increase in vacancy during the prior year, added around £15 million, and higher leasing activity added £8 million, as we have successfully rebuilt occupancy this year. And remember, the prior year also benefited from around £10 million of cost savings, due to the temporary closures of our centers and a £4 million one-off provision release. So combined the impact of the pandemic on our EPRA cost ratio, this financial year was around 3% to 4%. And as we continue to rebuild occupancy, void and letting costs will normalize. So we expect our rental margin to grow to around 90% over the next two years. Admin costs increased marginally and the savings that were made from the business change activity in the year were offset by the increased cost of the acquisition of U+I. Going forward, we see further cost-saving opportunities. In the current financial year, we expect admin costs to be broadly stable before reducing the year thereafter, and that's despite inflationary pressure. We're actively managing our cost base and we expect to achieve an EPRA cost ratio reduction towards 20% over the next two to three years. Moving on to gross rental income, this was up £17 million for the year with a positive like-for-like growth across every part of our investment portfolio. Retail and subscale sectors saw the highest growth as both were the most highest impacted sectors, during the lockdowns and the restrictions of the pandemic. Like-for-like income in retail was up 4.5%, and that's principally driven by the increased turnover-related income and variable income from car parking, both of which reflect the strong bounce back in trading. Our subscale sector saw 13.8% growth in like-for-like income, and that's principally driven by the hotel income and the turnover-related leases. The increase in gross rental income derived from the acquisitions, have been offset by that loss from disposals. And our future development assets saw a small reduction in income, as we continue to progress our vacant possession strategies. For the next 12 months, we expect like-for-like income to be positive overall with offices and subscale sectors up and retail broadly stable as any historic over renting is offset by occupancy growth. And this slide shows, the detail behind the movement in our portfolio value, which was up £409 million. Our valuations fully reflect, the cost that's required to achieve an EPC B rating by 2030. As you can see momentum increased in the second half with a 2.9%, value uplift on virtually all sectors seeing growth in values. Our Central London portfolio was up 3.7% for the year, with yields stable. There were four key drivers behind this. So firstly, West End office ERVs are up 4%, reflecting our strong leasing activity during the year, which drove growth in rental values. Second, the city office values were up 5.6%, which was principally driven by the impact of the 15-year lease regear that we signed with Deloitte for 478,000 square feet at New Street Square. And third, London Retail, which includes Piccadilly Lights, saw a 5.3% increase in values in the second half as footfall continues to recover with tourists and workers coming back into the city. And fourth, London office developments were up 4%, which principally reflects the upside on 21 Moorfields. Retail values were effectively flat for the year and that's following a 1.7% increase in the second half, reflecting our positive operational momentum with occupancy growing and leasing ahead of ERV. Following several years of decline, shopping center values stand a corner and were up 2.5% in the final six months as income has stabilized and investment activity is starting to return. Our mixed-use development assets were down 6.5% for the year. Three shopping centers account for most of this value and they're valued on their existing use. The decline reflects the shorter leases as we work towards vacant possession. Lastly, our portfolio of subscale assets increased in value by 12.9% or £170 million, which indicates our decision not to sell in the short-term and only monetize after recovery in values. So, overall a positive result with growing momentum in the second half. The growth in valuations and the strength of income are the key drivers for our strong total accounting return of 10.5%. The chart on the right shows the increase in EPRA NTA with a substantial part of our -- of the £409 million valuation surplus, driven by our active management in three key areas; that's our leasing and development activity, our profitable approach to capital recycling, and our strategic decisions. On a per share basis this meant that EPRA NTA was up 7.9% for the year. We're proposing a final dividend of £0.13 per share which brings the total dividend for the year to £0.37. This is in line with our policy to have dividends covered by 1.2 times to 1.3 times by EPRA earnings. At the time of our strategic review in late 2020, we said that we would look to sell around £4 billion of mature London office and assets from our subscale sectors over the next six years. 18 months into this plan we are on track with this having so £1.1 billion to date. And we have invested £1.4 billion in acquisitions and CapEx over the same period with each of these investments expected to deliver a materially higher IRR than the mature assets that we sold. Since March last year, we have sold £445 million of assets, on average 13% above book value including the £195 million disposal of the Strand that we agreed last week. We're in active discussions on further disposals in London aligned to our strategy to recycle capital from the mature assets into areas of growth. And we continue to monitor the best timing to monetize our £1.5 billion of assets in our subscale sectors as we expect to see further recovery. We will continue with our plan to sell £3 billion of assets over the next four years and recycle the proceeds into profitable pipeline and selective acquisitions. Our balance sheet remains strong which continues to support the delivery of our strategy. LTV increased slightly during the year to 34.4%, reflecting our investment in future growth opportunities. This is comfortably within our target range, but I expect to remain below the mid-30% level in the medium term. The sale of the Strand post the period end will reduce our LTV by 1.1 percentage points. Our planned disposals will reduce net borrowings over the next 12 months and we will use the proceeds to repay operating debt. As a result, the proportion of fixed debt will increase significantly from the current 70%. Committed CapEx of £378 million is more than covered by a £1.1 billion of available facilities and with only 18% of our debt maturing in the next three years and an average debt maturity of 9.1 years, our overall financial position remains very strong. In November, we were the first UK property company to launch our fully costed net zero transition investment plan, which will help us to achieve our science-based carbon reduction target and ensure that our entire portfolio is rated EPC B or higher by 2030. And as I mentioned earlier, a substantial part of the investment is already reflected in our valuations. Since then, we have made good progress and set clear targets for the year ahead. Our Building Management Systems review, identified opportunities for significant energy savings. So we're now implementing system optimizations across our office portfolio and continuing to evolve our Machine Learning and AI technology. As our customers are responsible for a significant proportion of the energy that's used in our buildings, we have worked with 15 key customers to drive down overall consumption across our portfolio. We will expand this with a further 10 customers this year and these two groups combined, are responsible for over 40% of our customers' energy consumption in our office portfolio. In terms of decarbonising heating, we have completed feasibility studies on five buildings, which identified the potential energy savings of 20% to 30%. We're now working on the detailed designs to take this forward. 44% of our offices are already EPC B or higher which as Mark said is roughly triple the market. And all of them are at least rated EPC E or above in line with the 2023 MEES regulation. It works differently for the retail space, where EPC ratings are based on the individual units. So our focus is on making sure that the remaining few units have an individual EPC rating of E or above. So in summary, we're in a good position. I'm confident that our strategy will deliver a mid-to-high single-digit annual return on equity overtime, split broadly equally between income and growth. The chart on the right provides an updated version of what I presented at the Capital Markets Day earlier, this year. Our net investments over the past six months already increased annualized rental income by £32 million and recycling capital out of the mature London offices and subscale sectors into our pipeline could deliver a further £90 million of growth over the medium-term. As we continue to enhance our operational performance, we have the potential to grow income by at least £120 million, excluding further market growth which, whilst keeping our LTV below the mid-30s. And as we align the investments with disposals, we expect earnings per share to grow by a low-to-mid-single-digit percentage and drive further growth in dividends. Put simply, we have achieved real momentum. And we're moving forward with our strategy. And with that, I'll hand you back to Mark.
Mark Allan: Thanks very much, Vanessa. I will now wrap-up with a summary of what to expect from us next, the current environment that we're operating in and our outlook before Q&A. As you will have heard this morning, we have a clear focus on driving growth in each of the three areas, we operate in. We have a clear visibility, on the potential returns on offer across our existing portfolio and potential new opportunities. And we have flexibility to deploy our capital across a broad spectrum of risk and return characteristics. As a result, we are being more decisive on our capital allocation. And we'll look to fully leverage our strong expertise and skill sets. In London, we're looking to start up to three new developments this year. We will continue to recycle capital out of more mature assets. And we will further grow our flexible office offer. In retail, we will continue to build on the positive momentum with our new team in place. We will further grow brand relationships and rebuild occupancy. And we will selectively explore investment opportunities, where our expertise can drive growth. And finally, in mixed use, we aim to start on site with our first project, later this year and a further two next year, as we start to deliver the attractive mix of income, growth and development upside we expect from this part of our business. Amidst all of this, our focus remains on maintaining capital discipline and preserving balance sheet strength. And despite the economic headwinds currently with inflation at a 30-year high and interest rates up sharply, our strategic focus means our business is resilient. In London office, construction costs are rising, up around 6% over the year. But in terms of our near-term pipeline, we expect ERV growth, to more than offset this. Rent remains a small part of the overall operating cost of average London occupiers, at less than one-tenth of salary costs. There is a shortage of sustainable high-quality space, fit for today's key talent. And the required growth in ERV to keep development profits stable is half or less, of the headline growth experienced in construction cost, as land values cushion the impact. In retail, pressure on margins is felt in online just as much if not more than in physical, and prime retail rents have already reset to a much more sustainable level. So the flight to prime we're already seeing is likely to accelerate, as pressure on marginal stores grows. And we are only at the start of seeing the upside from the new custom-orientated approach of our restructured retail team. Whilst wage inflation and the roughly £170 billion of excess savings built up during the pandemic should provide some support for consumer spending. In terms of capital flows, we continue to recycle capital out of mature lower-yielding assets. But overall, prime yields in the sectors we operate in still offer an attractive risk premium versus real interest rates. And relative to other asset classes, real estate offers competitive real returns, which continues and should continue to support the high capital flows towards the sector and underpin valuations. Finally, our LTV is low. We have limited interest rate exposure, with close to 75% of our debt fixed following the recent sale of Strand and less than 20% of our debt maturing within the next three years. So in summary, we have built real momentum and are well-positioned for future growth. More proactive capital recycling and leverage in our expertise is set to drive meaningful growth in income and support our aim to deliver a mid to high single-digit annual return on equity over time. We're well on track with this and expect to sell a further £3 billion of mature London offices and assets in subscale sectors in the coming years. And we have the clear potential to reinvest that £3 billion into our secured London office and mixed-use urban pipelines over the next five years, materially improving our overall return on this capital. And all of that we can deliver, while still maintaining our strong capital base, as we balance disposals with reinvestments to reposition our portfolio. And with that, I will now open for Q&A. I'm going to ask firstly for questions in the room. Then I will go to the conference call facility and then, finally, pick up any remaining questions that come in through the webcast facility. For questions in the room, every seat is equipped with a microphone in the armrest. If you could use the microphone, press the button, please, and just state your name before asking question, so we pick it up properly on the webcast and playback facility. Question in the middle here. Thank you.
Q - Rob Jones: Yes. Hi. It’s Rob Jones from BNP Paribas. One topic on flex office and another on construction cost inflation. So in terms of flex office Mark you obviously said you want to grow the flex office offer going forward. Can you give us some numbers in terms of what Myo's current occupancy is? I see you're obviously targeting 20% ahead of kind of traditional Blank Canvas net rent at an 85% occupancy, but I wonder what the current occupancy is for existing Myo space. And then secondly, in relation to that, Myo as a percentage of the portfolio, including the four new locations you're planning, what percentage is that are we talking, 4% 5%? And obviously, that's going to be the next couple of years. Do you want to do construction cost questions now or in a minute?
Mark Allan: Why don't you keep going? 
Rob Jones: And then in terms of construction cost inflation, so as you said in general, across the London market, for offices you're seeing 6%. Do you have a figure in terms of your expectation going forward and the duration that we might see construction cost inflation remaining heightened? And then, I think, you said 3% for Landsec, given that obviously you fix some of those costs going forward. How long can you continue to be -- see a lesser impact in terms of construction cost inflation on your portfolio relative to the wider market? Thanks.
Mark Allan: Thank you for those, Rob. So just a bit more color on Myo. So we currently have two operational assets. The first we opened in Victoria, 123 Victoria Street. That is 98% let. So it's effectively fully occupied. The rents were achieved and they are actually ahead of where our business plan would have those rents there. And I think encouragingly, we saw that during the pandemic. During lockdowns, I think it bottomed out at somewhere in the region of 55% to 60% occupancy recovered very, very quickly. The second asset is Dashwood in the city where we've got four floors of the refurbished Dashwood House allocated to Myo. That building completed in the summer of last year. And given the timing of that relative to lockdowns and return to the office, the lease-up was initially quite slow. It accelerated from September through until Omicron hit us in December and it picked up again in January. And it's 64% let, as things stand now and leasing up quickly from there. And again, the rents we're achieving are ahead of our overall business plan. So I think what we're seeing in the flex offer is clearly very strong demand and an ability to lease up quite quickly. I think we need to see it as an important part of the portfolio of offers that we can provide to office customers. So, for example, we are -- it's a 170,000 square feet of identified Myo expansion opportunities. We took back a 40,000 square foot building in New Street Square for example that we converted to Myo with a roof terrace. I've spoken to three or four of the major occupiers elsewhere in New Street Square. They all see the presence of a flexible offer that they could perhaps use for specific project space or particular events as a net positive for them being located in New Street Square. In Victoria, we've had people occupy or take space in Myo whilst they've been expanded whilst we're getting other space ready for them to move elsewhere within the estate. So, I think the real opportunity in flex is to see it as one of a range of options, which means the businesses like Landsec can offer a full range of options to occupiers. And flexibility in the broader sense, I think is going to be something they're looking for. With the 170,000 square feet that would take us to around 250,000 square feet. So, you're looking at about -- in terms of space terms, about 5% or so of the portfolio at that point. It could easily be triple that over time, if you look at where we think the scale of demand could be. But we focused on 170,000 square feet at this point, because that's what we can identify and know we can deliver over the next 12 to 24 months from our pipeline. Your question on build cost inflation. We quoted a number, which is effectively what we've seen over the past year around 6%. We're currently looking at -- and this is really a comment primarily on London offices. That's where we are most active currently in terms of tenders. Our expectation is we're probably going to see something similar over the next 12 months. The 3% cost growth that we saw in our secured development pipeline is less about inflation and more about changes to spec or program to on-site projects. Those are all effectively under fixed-price D&B contracts. So, price increases tend to be associated either with risk items that we are taking the risk on or changes in upgrade specification. But around 6% is what we're sort of planning expecting to see coming through. What's really interesting at this point in time is seeing what's going on within the supply chain and what's driving that inflation. So, certainly energy costs -- and that's a big component of steel production, I think roughly a third of the cost of producing steel is energy. And so anything steel concrete related is putting quite a lot of pressure on material costs. We've seen squeezes on labor. So I think there are 6% fewer construction sector jobs today than there were three years ago in 2019. Obviously, Brexit has been part of that. That's more acute candid in London than it would be within the region. So, we're seeing less pressure in Manchester, for example, on labor, because there was less of a bit of net migration out of the workforce within the regions. But what we're finding is contractors are being, first of all, a bit more conservative in their margins. So they're putting a little bit more margin in to cover their buying risk. But we're also seeing them being selective in terms of, who they're choosing to work with, recognizing they would see that they would be potentially taking pricing risk within those contracts. And so, large-scale developers with a track record and importantly, with a pipeline of potential further work, which people would see themselves positioning their businesses for, I think puts us in a better than average position if you like. But of course, we can't completely buck the trend of price rises on materials and squeezes on labor. What I did say within the presentation, within London in particular, is because the land is quite a large component of the overall development cost than we're currently seeing leasing activity and enquiries ahead of ERV. You only need half or sometimes less than half of the build cost inflation to go through rental growth and your development profit is unaffected. And within our three projects that we're likely to proceed with there's quite a – particularly Portland House in Victoria, there's a significant amount of retaining existing structure, which means the exposure to steel suppose the concrete in the case of Portland the exposure to cladding costs are all materially lower. So, it isn't just a generic point. It does come down to the very specific developments about how exposed or otherwise you are to cost inflation. But as things stand, the outlook for demand, the outlook for cost inflation is something that we think is manageable while still hitting our target returns. Question at the front and then we'll to the back.
Paul May: So, Paul May at Barclays. Just a couple of quick questions. Just following on from Rob's on that development cost. We're hearing that the contractors aren't providing fixed price contracts anymore. They're generally reluctant to do so given the changes in pricing. Does that influence your decisions on the development pipeline that you have moving forward and the potential returns on that? And then just sort of a high-level question on the increased cost of capital, that's coming through in the market. It's been quite material, hasn't yet been an impact on property values. I appreciate property markets generally are a bit slower given the financial markets, but I just wondered whether you expect to see an impact coming through on property values? And then just a final one. I think like-for-like ERV growth was plus 1% in the year for the portfolio, but your net over-renting has increased in the year. Just wondered what the difference was in the two movements. Thank you.
Mark Allan: Okay. I'll ask Vanessa in a moment to comment on the last point if we can. Just on the build cost inflation point and contractors and fixed price, certainly not our experience at the moment. It wouldn't surprise me if there were elements of the market perhaps, with weaker contractors who are concerned about the risks of their balance sheet. We're working with Tier 1 contractors, who -- for whom that doesn't apply. I think what we are seeing is -- we continue to work and always would work very closely on pretty much an open-book transparent basis to understand the supply chain pricing. So we would have real-time sites of that alongside the contractor as they're putting their contracts together. As I mentioned, I think we are seeing a little bit of increase on margin. So, whereas a few years ago, I might have expected to see contractors bidding on a margin of 5-ish percent, they're probably now tendering at 8% to 9% to the margin to give themselves some scope. And they are being very selective in who they choose to work with. I might ask Vanessa to comment on yields and just our sort of views of impacts of rates, et cetera on yields. And also if we can pick up that question it may be something that we can answer separately, if we don't have the detail here.
Vanessa Simms: So in terms of the – our cost of capital, we're quite lot of good. So we're not seeing a huge impact coming through on our own cost of capital or margin. Our incremental cost of debt is 1.9%. And we have seen bond yields probably in – because of the change in our – on our particular bonds. We’re now sort of up to that 20 basis points but not necessarily a huge impact. So we see our cost of debt being – remaining around 2.2% to 2.5%, which I appreciate it's only one aspect of cost of the capital. But in terms of ERVs, we are seeing that trend of the ERVs that we're securing across our portfolio. I think we mentioned that office ERVs are up around 4% and the deals that are coming through that are in solicitors' hands we're seeing that trend to continue. Again with retail, we're seeing that about 2%. And again the deals in solicitors' hands are just slightly ahead of that average. The – there has been a very small movement I think in the terms of the overlending point that you mentioned. We probably take a slightly more prudent view on where we are with some of the variable rents in that so of course both London and the retail side. So as we're seeing some of those variable rents coming through, we're just comparing that on that basis but it's pretty small movement in the period.
Mark Allan: Just a general comment on market yields. I think is that we've seen the relative benefit of London in particular being – showing good value relative to other global investment destinations. Clearly an element of that premium will have now been eroded. But we've not seen any evidence of that leading to repricing, where we're active in the market at the moment. So as we said within the statement absent a material movement in bond yields. Upwards from here we would expect yields to be well supported at current levels. There's a question at the back.
Colm Lauder: Hi, thank you, Mark. Good morning. Colm Lauder from Goodbody. Just a couple of questions on the rental arrears point. I noticed there is a comment in the results statement that there was considerable progress made in FY 2021 arrears. I think it's only £13 million or so million outstanding of the original £85 million. Just firstly on that. Is there any sort of clarity or color you can give us in terms of the timing patterns around that? Was there an acceleration in payments of those arrears post the ending of the Eviction Moratorium? And of what's remaining any particular breakdowns between say the retail parks portfolio between shopping centers. And then the second point following on from that just in terms of the arrears pattern for H1 of FY 2022 and again the sourcing and the breakdown of those arrears where they sit by sector and segment. Thank you.
Mark Allan: Let's call Vanessa, please.
Vanessa Simms: So in terms of the timing around the collection of the arrears, we probably saw a lot more pickup in the second half of the financial year. And I think that probably reflects the momentum in trading as well with a lot of our customers. We haven't seen a notable change since the change in the lifting of the moratorium. But I think partly because we've made pretty good progress prior to that date, which is quite recently. I think one of the things that probably we've done quite differently this time that probably has helped in the last six months is actually having a better brand relationship with our customers. So utilizing the changes that we've made across the retail sector to work with our control team to actually come to agreements with our customers. So I think that customer-focused approach has helped to improve our collection performance. In terms of the areas where we've probably seen a greater deal of challenge would be in the subscale sectors and that's probably more around the leisure side. In particular I think some of the cinemas have had a challenging time with the recovery in post-pandemic. So those are the ones that we've been working quite closely with and still have some work to do around some of the areas.
Osmaan Malik: Good morning. Osmaan Malik, UBS. Coming back to the inflation point. I've got a couple of questions. One specific. Could you give us a sense of in the recent office lease negotiations, whether you've been able to point to inflation as – well, whether it helps strengthen your position when you're negotiating or weakening because your tenants have seen margin squeezes? And the reason I'm asking this is the bigger picture point on inflation. I know you've compared inflation and construction costs but you're guiding to low to mid single-digit rental growth this year. Inflation is much higher. So do shareholders need to accept that we're going to see value erosion on a real basis, or do you think we're going to see some catch up over the next few years?
Mark Allan: Yes. We – I guess for obvious reasons, we make the link between the cost inflation we're seeing and what's happening in the rental market and therefore what's the implied pressure on margins or impact I should say on margins and what do we think is going to happen with yields. It's not something I think that comes into a discussion with occupiers because that – those discussions are all about their demands and what are they looking for and how closely does our products, our portfolio meet those needs. So where you're talking to existing customers I think there's a good level of stickiness within that and there will be a recognition that there will be a number of years since the last rent review. You can point to a lot of current rental evidence within the market. But I don't think anyone would ever have a conversation saying oh inflation is this so therefore rents are up. You might have seen yesterday, we announced for example the first major pre-let N2 within Victoria. Now that's set a record rent for Victoria in terms of set -- a new tone in terms of pricing. What we're seeing there -- and it's the same in a number of other properties in our portfolio -- is the level of competition for the best space is significant. So it's the fact we've got two or three alternative occupiers effectively buying for the same space. They all want the best space, the highest space or the biggest roof terraces and the best views. And whilst that's available, there's competition for that space. When that isn't available, the competition moves to the next best available space within the building. So I think we are seeing something very much driven by occupier demand in terms of rental growth. Certainly some of the numbers we're seeing, I think would be higher than the low to mid single-digit point that we're there. But I think it's sensible for us to put a degree of caution I guess within there. But when there's an inflation environment, of course we do need to be cognizant of the fact that could put some downward pressure on returns. But I think in relative terms, the sector is well set. I think what this pulls us down to inflation will do what it will do and ultimately have you got pricing power and is you underlying market growing. If it is, it's a good hedge for inflation. I think we're seeing that in London offices at the moment. I think we're seeing that within retail with the recovery to physical. If it's not, then it doesn't really matter what least you've got at some point you've got negative reversion to deal with. Are there any more questions in the room? Max at the front.
Max Nimmo: Hi. Max Nimmo, Numis. Just one comment on -- looking for more opportunities in retail that you talked about potentially taking it from sort of 16% to sort of 25%. It sounds like from what you're saying that I could ask you quite a short window of time that you have to get into that space, if you expect that shopping center values do start to kind of catch up in that yield spread versus retail parks for example comes through. So just a comment on is there a moment in time we expect to say actually that's something we can't go for anymore? And then secondly, just on this new retail agency kind of team, what do you expect that they can do is different from anyone else in the market at this point and other than kind of going for longer leases? What is it that you're trying to achieve with that whole restructure? Thanks.
Mark Allan: So thanks, Max. So I think with respect to the investment opportunities and values and shopping centers, I think the first point to stress is that this is not a view that I would apply uniformly across the shopping center space. There are a number of centers that we've estimated and would still I think stand by the view that there's probably 20% to 25% excess retail space within the UK. So some of that is now though is increasingly concentrated in secondary locations where I think repurposing away from that sort of the reduction of certain space will be the key trend over the next few years. But in the prime space and you're probably talking 20 to 30 locations in the UK, we are seeing -- and it's not just us, we see it in other centers as well. This concentration of brands, the upsizing of stores, the fact that people want to be able to show a full range in store deal with returns in store and engage more proactively with our customers, I think is a really strong trend that has quite significant momentum. And you will have seen as a small example Zara following lead of others in starting to charge for online returns that are just done through the logistics network. They're free to return in store. This is all evidence of how clear retailers are particularly the most sophisticated on-the-channel retailers are that they need stores, but they need bigger, better, but fewer stores in the best locations. And that window opportunity could close relatively quickly. What's important for us is that we are absolutely selective and disciplined in only those -- investing in those best locations. That could be increasing a stake in what we already have exposure to as we did with Bluewater. It could -- well it could actually be elsewhere that we've given an indication of where we think that could be in terms of overall portfolio weighting. And the retail agent point is really interesting when we've moved from fairly one to five. That follows on from restructuring our retail team internally away from teams that were aligned to assets or portfolio assets to a brand account management team who are aligned to categories. So in the old days and it wasn't that long ago in many ways, you could have been speaking to 20 different people within Landsec about different deals across the portfolio not a particularly customer-facing way of doing things. Now you would speak to one person or one team that would deal with everything. What we've done with the retail agency model is then effectively aligned to that. But I think on top of that you have to look at the economics of that model. And how the way that model worked in the past was you'd have two agents on basically everything. You pay them both 7.5% for every letting, regardless if you get the letting. So we're paying 15%. They're getting 7.5%. They don't make money at 7.5%. We don't get great value at 15% or we'll pay 10% plus a performance upside for delivering better occupiers, hitting our strategy, hitting our brand mix. The alignment is stronger and we've gone with the agents that have the strongest alignment to brands and categories that will be additive to what we have in terms of our internal expertise. I don't think I see any more questions in the room. So I will try the conference dial-in facility just to see if there's anyone on the line with any questions. So I think that's -- there are no, of course, I'll just pick up one call -- sorry, was there something on the line there? Did I miss something? Apologies. 
Operator: There is a question from the audio conference call from Mr. Jonathan Kownator from Goldman Sachs. Please go ahead.
Mark Allan: Thank you very much. Jonathan?
Jonathan Kownator : Good morning. Thank you for taking my question. I just wanted to come back to the notion of pricing power in office. You've alluded to your pricing power in London, but obviously you're expanding also in the region. How do you think your pricing power looks in the regions or within the regions versus what you have in London? Will it be better? Will it be not as strong you think given the state of supply demand? That's question number one. And question number two still on tenant demand, are you still seeing any type of such buyers or type of industry pulling back from taking space, thinking about tech for instance, for example? Are you seeing any evidence from that? And also following up from the sort of Deloitte restructuring, do you expect to see deals when you have to have significant release of paid concentrations in buildings things like that in the coming months?
Mark Allan: Okay. Thank you, Jon. So with respect to pricing power in the region, it's probably most relevant current to talk about what we would expect to see within Manchester. One of the key features, we've seen within the Manchester market is the tendency for occupiers to remain in situ within current offices for typically longer than they would within London. So there is less occupier churn. I think what that tends to translate to therefore, is you've got a greater proportion of occupiers in slightly older more out-of-date stock. The demand for quality flexible sustainable space, we believe and everything we see would suggest that's going to be the same within the regions as it would be within London, but because of that perhaps pressure on existing stock, I think, actually the pricing power should be at least as strong as you see within London. We've then got a separate dynamic within Manchester or Greater Manchester when we look at MediaCity in Salford and that no new space has been delivered into that location for nearly 10 years. And so the ability to actually bring new occupiers in to move the rental tones on has been pretty limited. So bringing new spacing so there, I think, will provide the opportunity to reprice. We're probably in the mid to high £20 per square foot at MediaCity. You're probably at the high 30s low 40s within CBD in the center of Manchester. So there's quite a big delta that's opened up much bigger now than it was when MediaCity was first developed. So, I think, again, this is all about looking at the particular micro conditions within the market, but I think we feel sort of pretty positive in the regions. Your -- so question on occupier demand in any particular trends, or we're seeing people actually reduce space. Within our portfolio, we've not seen any consistent trends downward. So the most material reduction in space was the deal that we've agreed with Deloitte, where they've said potentially vacated around 0.25 million square feet, but the majority of that was in a much older building, which has actually created a significant development opportunity and an intensification opportunity on that particular site. And those discussions about Deloitte's longer-term space requirements predated the pandemic. So they've been looking at how they use their office space effectively not only in London, but also within the regions for quite some time. We've got current discussions ongoing with a number of -- couple of lawyers, for example, who had previously been looking at reducing the amount of space that they wanted to take and they have both recently increased their requirements. And that's an environment where we see some lawyers talk about offering hybrid working to attract people, others are taking more space. So there really aren't clear trends there. The area where we might expect to see some pressure, I think, would be on headquarter type space where a higher proportion of the portfolio of the building is occupied by back office functions where there would be the opportunity to reduce cost through reducing space take over time through a more programmed approach to hybrid working. Not a feature within our portfolio and I think it's one of the benefits of having a largely multi-let portfolio, but that is something where I think we perhaps might expect in the market to see some reduction over time.
Jonathan Kownator : Okay.
Mark Allan: I think that was the only question on the conference dial-in? 
Operator: Excuse me. There is one more question from the call if I may? 
Mark Allan: Yes, please. 
Operator: It is from Ms. Marie Dormeuil of Green Street. Please go ahead.
Marie Dormeuil : Hi. Good morning.
Mark Allan: Good morning.
Marie Dormeuil : Just I had a question with regards to your disposal pipeline and if you've seen any cracks or you started to see any potential for this disposal to take longer than what you would have in mind, or just given the current environment and potential -- more funding for potential investors rather than on your side really?
Mark Allan: Sure. I'll ask Vanessa to comment on timing of disposals. 
Vanessa Simms: So the way we structure our disposals is actually to align the disposals as best we can with our investment plan. So at the moment we're broadly £1.1 billion of disposals against about £1.4 billion of investment in acquisitions and capital investment into our development pipeline. We are -- and we have then since the year-end, delivered -- achieved one disposal, which was the Strand. So that took -- I think, we exchanged on that last week. And we do expect to then continue, to dispose into the year ahead. So, we're looking at disposing possibly up to about £1 billion of assets over the next 12 to 18 months. And then we -- so we're continuing our plan. And our focus is on some of our mature assets. And then as the subscale assets, we see the best time to monetize the value increase on those. So I think, when we talked about probably worth noting, that when we talked about seeing an increase in our earnings per share and our dividend per share, that's based on an assumption that we would continue to sell in the coming months. 
Mark Allan: Any more questions on the conference, dial-in? 
Operator: No more questions from the call, right now. 
Mark Allan: Thank you very much. I'll go to two questions, we have briefly on the webcast. The first, I'll ask Vanessa to answer, but I'll just read out is on a two- to three-year basis -- is from Andrew Gill, -- on a two- to three-year basis your EPRA cost ratio looks like it will be around three percentage points higher than FY 2019. Is the only way to materially increase portfolio cost efficiency to grow revenue, or are there further cost savings, you can make? 
Vanessa Simms: Yes. So, in terms of, growing revenue as we've indicated, we do expect to see revenue growing. But really the focus for us, as a management team, is on creating a very efficient operating platform and we do see opportunities to continue to reduce our cost base. So, we're obviously, very focused on both direct costs and indirect costs. And we see opportunities from this in part, because the impact that COVID has had on the cost base this year, is quite significant with both the void and the letting fees and non-recoverability service charge. We've got vacant units. So filling the void, is a key part of that. But in addition to that, we are looking at how we create more opportunity and efficiency. And we talked about the retail agency work that's gone on, but we see other opportunities amongst procurement. We've got this function in place and they -- we're really benefiting from the activity that comes through here. And in addition, we will continue with our business change program, in the next one to two years as well. I think, the third opportunity that we see for cost saving probably, would take two to three years to come through maybe a bit more longer term is the investment we're making into technology. So, we are investing in our platform that -- technology-wise and we would expect those costs to obviously, come through as now expense to indirect costs. So, we're expecting to offset that cost investment through savings over the next year, which is why I indicated that, we would see that flat. But we really see those opportunities helping the cost base in say two to three years' time. So, I think there will be a sort of medium to longer-term program to focus on the cost base of the business. 
Mark Allan: Thanks, Vannesa. So a final question from the webcast, which is given the recent change in environment in terms of the increased construction and debt costs, do we see any need to reduce the development pipeline a bit or perhaps delay it from Neeraj Kumar [ph]? As I think, we indicated in the presentation certainly at the moment the occupier demand and the potential pricing of that I think is the key variable for us. As things stand, that looks healthy. And so we wouldn't see that as leading to a need to reduce development. Maintaining optionality in our program for as long as we can is, of course, important because market conditions can change. And so having the level of optionality that we do up to three projects in London, to two in the mixed-use pipeline, I think is a real source of strength. But as things stand, we think development profits look pretty resilient in the current market. I'll close the call meeting at that point. I thank everyone, both online and in-person for taking the time to join us this morning. Have a good day. Thank you.